Operator: Greetings and welcome to the Chembio Diagnostics Third Quarter 2013 Financial Results Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Bobbi Coco. Please proceed.
Bobbi Coco: Good afternoon, this is Bobbi Coco with Chembio Diagnostics. Thank you all for participating in today’s call. Joining me are Larry Siebert, Chief Executive Officer; and Richard Larkin, Chief Financial Officer. This afternoon, Chembio Diagnostics announced financial results for the third quarter 2013 and filed its quarterly report on Form 10-Q with the SEC. These documents as well as an updated investor presentation and fact sheet, may now be viewed and downloaded by going to www.chembio.com and selecting Investors. If you would like to be added to the company’s distribution list, please call Chembio Diagnostics at 631-924-1135 extension 125 and ask for Susan Norcott, or e-mail her at snorcott@chembio.com. Before we begin, I would like to caution that comments made during this conference call by management will contain forward-looking statements that involve risks and uncertainties regarding the operations and future results of Chembio Diagnostics. I encourage you to review the company’s filings with the Securities and Exchange Commission, including, without limitation, the company’s Forms 10-K and 10-Q, which identify specific factors that may cause actual results or events to differ materially from those described in the forward-looking statements. Furthermore, the content of this conference call contains time-sensitive information that is accurate only as of the date of this live broadcast, November 7, 2013. Chembio Diagnostics undertakes no obligation to revise or update any statements to reflect events or circumstances after the date of this conference call. With that said, I would like to turn the call over to Larry Siebert. Larry?
Larry Siebert: Thanks Bobbi. Good afternoon, everyone and thanks for joining us. We are very pleased with the outstanding financial results we announced today. As result of the record sales obtained in the third quarter, we’ve increased our year-to-date revenues by 22%, our net income by over 75% and our earnings per diluted share by 60%, all these compared with the comparable nine months period in 2012. In addition to our financial success in Q3, our development regulatory and clinical programs made solid progress during the quarter. We now expect to submit our CLIA Waiver applications for proprietary DPP HIV 1/2 Assay to the FDA within the next week or two and we’re very excited about that. We’ve also progressed well in our international commercial activities which now include our first purchase order for our Multiplex DPP HIV-Syphilis test as we announced last week. And we’ve also made excellent progress in further establishing our own commercial organization in Africa, Europe and U.S. I’ll go over these and other items to more detail following a review of the third quarter financial results and balance sheet by our Chief Financial Officer, Richard Larkin. Rich?
Rich Larkin: Thanks Larry. First, I will go over as Larry said the third quarter results and then I will review briefly the highlights of our balance sheet. Our total revenues for the third quarter of 2013 of $9.62 million were up 92% compared with total revenues of $5.01 million in the prior-year period. Our product sales in 2013 third quarter of $9.04 million were up 91% as compared with product sales of $4.75 million in the prior-year period. This is primarily as a result of shipping a majority of our previously reported $5.3 million order and that was partially offset by a decrease in our DPP sales. Our Research & Development milestone grant and royalty revenues for the three months ended September 30, 2013 increased to $573,000 from $262,000 in the prior-year period. Gross margin for the 2013 third quarter increased to 135% to $2.406 million compared with $1.73 million for the prior-year period, primarily due to the increase product sold. Our product gross margin for the third quarter of 2013 increased 137% to $3.48 million from $1.47 million in the prior-year period. Our R&D expenses in the third quarter of 2013 were $1.6 million compared with $1.01 million in the prior-year period. The 2013 third quarter included $505,000 of clinical trial expenses related to our DPP HIV 1/2 Assay CLIA waiver study as compared with the $108,000 in the prior-year period. Our selling, general and administrative expenses for the third quarter of 2013 increased to $1.38 million from $1.21 million in the prior-year period and this was largely due to increased wages and related costs. Our operating income for the third quarter of 2013 was $1.07 million compared with an operating loss of $485,000 for the prior-year period. And our net income for the third quarter of 2013 was $717,000 or roughly $0.07 per diluted share compared with a net loss of $292,000 or $0.04 per diluted share for the prior-year period. Now turning to our balance sheet, the company had cash and cash equivalents of $8.05 million as of September 30, 2013 compared with $2.95 million as of December 31, 2012. The primary driver for this increase was net cash received from the April 2013 common stock funding of $5.4 million. In addition of cash for the nine months was provided from our net income plus our non-cash expenses of $1.85 million. And an increase in accounts payable and other accrued liabilities of $631,000. Partially offsetting these provisions for the use of cash or are increased accounts receivable of $650,000 and our increase in inventories of $1.26 million. Overall, our working capital increased by $6.44 million during the nine month period to $14.07 million. Thank you for your time and now I’ll turn the call back over to Larry. Larry?
Larry Siebert: Thanks Rich. I just like to touch on a few key areas of accomplishment since our last call in addition to the financial results as Rich just described as well as on our plans going forward. First, the record results for the third quarter demonstrate our ability to significantly and rapidly increase our production capacity in order to participate in large international procurement opportunities and to leverage our fixed investment in our high quality U.S. based manufacturing operation. We have a number of initiatives ongoing to reduce cost, increase automation and productivity and I’m confident that we will see the payback from these efforts. As mentioned, we’re pursuing more international procurement by investing an additional sales and marketing distribution capabilities in a number of key markets which we believe will drive growth in 2014 and beyond. During Q3, we established a full time sales rep in Africa and in Europe, two markets where we see good long-term growth opportunities for our products. We’re developing new initiatives and distribution strategies in these regions and we’re looking to do the same in Asia and South America. Second, as of November 1, 2013, approximately 95% of the enrollment criteria had been completed for all sample made receipts with respect to the CLIA Waiver studies for our DPP HIV 1/2 Assay for use of oral fluid or blood samples. We anticipate that this CLIA Waiver application will be submitted during mid-November and that the CLIA Waiver will be received by the end of the first quarter of 2014. Third, our plan to be ready to address the United States Rapid HIV Test Market with this product is in place and initial hires to staff key sales and marketing positions for executing this plan are being finalized. Contracts with distribution partners that will support and complement our sales and marketing efforts are also progressing well. After we submit our CLIA Waiver application to the FDA in November, we’ll further accelerate the implementation of our U.S. commercial launch planned for this product. And of course, now included amongst the products at Chembio good market under its own branch or the lateral flow products currently marketed by our partner Alere. This is due to the decision by Alere to – as we announced to introduce a competitive product. We’re currently in a dialog with Alere in anticipate receiving a definitive proposal from them soon. It’s important to note that Alere has stated its desire to extend our agreement to be their exclusive supplier even while they market this competitive product that they have. We should know more on this very soon. In the meantime, our sales to Alere as reported today have been quite strong as demonstrated in the finance reporting and our products continue to perform very well and our market shares increased. Fourth, we also plan to submit our pre-market approval application or PMA to the FDA for DPP HIV-Syphilis test by the end of this year. We believe that there are a very significant opportunities for this product in the United States and globally. Just last week we received our first purchase order for this Assay from our distributor in Mexico where the product was recently approved. This innovative product is the first ever Multiplex HIV-Syphilis point-of-care test to be approved by the United States Agency for International Development or USAID, and we believe it will also be the first such product to be submitted for FDA approval. This product had outstanding performance in the study that got approval in Mexico, and the study that was performed for the USAID by Division of the U.S. Centers for Disease Control. And we believe a publication of these results in process. Also as we previously reported to WHO, World Health Organization has accepted this product to be evaluated for prequalification and its global procurement’s team. And with this product PMTCT programs, which is the acronym for Pregnant Mother-to-Child Transmission testing will now be able to offer a screening test for Syphilis. At the same time that they are offering an HIV test. And we believe this is a huge benefit to global health program. As there are actually pregnant women with Syphilis than HIV and transmission to the unborn child of either one of these diseases can and should be prevented. Progress also continues on our Fourth Generation HIV Test our Hepatitis-C Test product as well although these programs and products are still in the earlier development stage. We have also made some progress on some of the technical issues we have mentioned at the end of our last quarter concerning the Syphilis Screening confirm test. And we hope to have all issues resolved soon so we can resume our commercialization plan for that product as well. And finally, as indicated in our revenues, the company’s – in our non-product revenue I should say. The company’s experience in developing multiplex products using its pattern to DPP technology has attracted this year a significant amount of sponsor research and developing contracts including the $472,000 follow on contracts for the multiplex Influenza immunity test, and the $750,000 contract for the multiplex febrile illness test. These contracts will be substantially completed over the next few months, we are delivering under those contracts in accordance with required specifications, and we will be identifying possible commercial opportunities for these products as well as for the Tuberculosis product that we are finishing our NIH Phase 2 SBIR grants over these next several months. We are also developing new opportunities for sponsored research and development contracts that we hope will materialize during the course of 2014. And with that, we are obviously very pleased with the third quarter results. With our current backlog, we expect to finish the year well ahead of 2012 in a very strong and in a very strong financial position as we look out into 2014. In the interim, we will look forward to updating our investors on the status of the CLIA Waiver study as well as any other key developments. So thank you all for listening. Operator, we are ready now to take questions. So please proceed.
Operator: Thank you. (Operator Instructions) Our first question comes from Joe Munda with Sidoti & Company. Please proceed with your question.
Joe Munda – Sidoti & Company: Good Afternoon, Larry and Rich. Thanks for taking the question.
Larry Siebert: Sure.
Joe Munda – Sidoti & Company: A little quick, Larry, lot of stock going on, you had a lot of approvals, a lot of tests. Just trying to catch up here so the CLIA Waiver for DPP HIV 1/2 you expecting that to be submitted and you are expecting it or an answer by the end of first quarter of 2014 correct?
Larry Siebert: That’s correct.
Joe Munda – Sidoti & Company: Okay. What is the total market opportunities, is it still roughly $75 million, is that what we are looking at?
Larry Siebert: Yes, in the U.S., yes.
Joe Munda – Sidoti & Company: Okay. $75 million in the U.S. and then on the U.S., on the Syphilis-HIV is that $75 million as well?
Larry Siebert: No, they are overlapping but additional market because there is additional task and brings additional value to the market. So it’s beyond the $75 million or that represent the HIV-Rapid test market. So there are some, several – I think the number – the total number of Syphilis Test clinical application in the U.S. is in the 40 million test range. That consists of some old technology that have some very low price points and some newer technology that has more like a $14 reimbursement those are the EIAs. There is no point of care test for Syphilis as you may, I’m sure you know. So that’s the opportunity and many people are being tested for HIV and not being tested for Syphilis yet. Although it is serious – this is a strong opportunity to prevent transmission of that disease just like HIV at the point of care, until we’ve seen the results of the test at point of care.
Joe Munda – Sidoti & Company: Okay. That’s helpful. Then just looking in the Q here, when you guys break out the customers – the three customers that $3.9 million that’s customer number 3; is that the $5.3 million that you sold with that one order – that one large order?
Larry Siebert: Yes, it is.
Joe Munda – Sidoti & Company: Okay, all right. That’s helpful. As far as I know I’m skipping around here. But as far as grant revenue is concerned, how should we model that going forward. I mean it seems to bounce around a little bit and it really could impact the numbers. Is this 572,000 number that can be normalized?
Larry Siebert: Well, that part of our business is that, we do have those projects and the contracts can come and go in ways and we could go up and down from quarter-to-quarter in that. Our numbers, last year for the full-year were substantially lower than what we are going to end up for this year. And it’s really, if you look at the last few years, I think it’s been in the $1 million to $2 million range, we don’t give guidance’s you know anyway, but to get any more of a range than what’s been our historical experience would be really speculative. So that’s been our practice and we are looking at opportunities all the time, whether it’s NIH, other NGO funding, other U.S. government agencies. We have an active R&D department that pursue those opportunities, but it is hard to predict. I would say though that to the extent that those revenues are lower, we would not need as much R&D expense to service those contracts, which is not to say that we made up on used item those R&D resources for other things. But we would obviously not, we would free up R&D resources as it relates to servicing those contract.
Joe Munda – Sidoti & Company: Got you. Okay. Thank you. That’s helpful. And then as far as R&D, since you are just talking about that, with the clinical trials you are conducting, I think you mentioned $500,000 in the past quarter. Is it safe to assume that it could continue into at least the first quarter 2014?
Larry Siebert: No. We have – that has to do with the CLIA Waiver study and we are wrapping that up, over the next week or so.
Joe Munda – Sidoti & Company: Okay. So then R&D should then come down, I don’t pretty substantially then.
Larry Siebert: Yes. I mean we do the studies related to HIV-Syphilis ongoing, but that’s not a patient enrolled clinical trial. Those are lab related studies for the initial studies we are doing quite substantially less. So I say that the third quarter results or third quarter expenses $0.5 million is the high watermark in terms of kind of number that will be reflecting in the foreseeable – in the near term.
Joe Munda – Sidoti & Company: Okay. And then my final question and I will hop back in the queue. Larry what are you planning to do once you retire?
Larry Siebert: I have no specific plans at this point other than to make sure that the Chembio investment is well protected.
Joe Munda – Sidoti & Company: Okay. Thank you.
Operator: Our next question from Paul Nouri from Noble Equity Funds. Please proceed.
Paul Nouri – Noble Equity Funds: Good morning, guys. 
Larry Siebert: Hi, Paul.
Paul Nouri – Noble Equity Funds: You talked about having represented for the European and African markets. Two questions, I just wanted to make sure is this, you have a new representative in each markets? And then question number 2, what kind of background the representatives have?
Larry Siebert: So yes, it’s in each market and both of these people have very relevant point of care and diagnostics generally experienced.
Paul Nouri – Noble Equity Funds: And in Europe are you going more as a general distribution as opposed to Africa where you are going for more of the tenders?
Larry Siebert: Well, the market in Africa as I think you know is characterized by the global donor funded program such as PEP for and the global fund and gives a system that vary from country to country. But effectively it’s attentive process that is somewhat varies by country and selection in that country’s national testing algorithm sometimes as one test for each position of the algorithm many countries are shifting to a different model to ensure continuous supply in case there is an outage of one particular product. In Europe while – that those types of programs don’t exists for the most part that maybe in, if some beneficiaries in Eastern Europe and some of the global fund programs but in Russia, if you want to consider parts of that Europe. But so there is general distribution although the point of care market from a professional point of care diagnostics market is limited. However, we have identified some other opportunities. There is actually a very high percentage, higher than in the U.S. of individuals who are HIV positive – estimate to be HIV positive who are unaware of their infection. The percentage in the U.S. is hovering around 20% in fact I recently heard it was down to as low as 18%. It’s significantly in higher age. All the reasons for that I don’t know but it is an opportunity that is now starting to create some outreach opportunities. I came to the public health market here in the U.S., it’s in the early stages but now that we have our CE Mark and we have our representative there. We have identified some opportunities and we think it’s an effort worth making and kind of make that over the next many months.
Paul Nouri – Noble Equity Funds: And then returning to the lab test relationship. Two questions, are they the largest diagnostic company in Brazil? And then also are they dealing with you exclusively with those types of tests that you will be making?
Larry Siebert: No. The answer to your question is no. We may have used that description of them but it was qualified with the qualifier of that’s Brazilian owned. All the big diagnostics companies Roche and others have significant presence in that market. But this is the largest Brazilian owned diagnostic company. And so that is the way I would describe them the fact. As it relates to the exclusivity there are the – they have a – we have entered into a non-exclusive relationship with them. Obviously, we’re dealing with one that can provide DPP to them, but they don’t have any restrictions from developing other point of care products. And we are not exclusively tied to them as relates to this arrangement. We are working very closely with them and we are excited about the collaboration.
Paul Nouri – Noble Equity Funds: And what is they are manufacturing and personnel cost structure look like, when you manufacturing and test down there as opposed to train other low cost country, how is it compared?
Larry Siebert: I would generally, I mean I think there is several things you read or applicable to this company that the Brazilian cost of manufacturing is lower than in the U.S., but not as low as in China. Although what we have been reading lately is that the cost of [indiscernible] cost of labor in China has gone up, something like 500% over some period, I don’t remember exactly the period. But it’s gone up significantly. So it’s a lower cost environment for us particularly not only from the pure manufacturing standpoint but also from the regulatory standpoint.
Paul Nouri – Noble Equity Funds: And last question on that relationship. I mean did you open a new factory with them, I mean I know they are in charge of kind of getting that up and running and you are going to go down there and help them – help train them and everything, but they just kind of add capacity to an existing facility or if that’s to buy a whole new facility?
Larry Siebert: No, they had some existing capacity in state that they are now – that is being improved in order to – for which equipment has been ordered and it’s being delivered that they have ordered and its being delivered to up fit that space with that its specific to our product line.
Paul Nouri – Noble Equity Funds: And then last question from me. OraSure came out yesterday I guess and they are at home testing sales or improving a little by little, I think it was $1.8 million or $1.9 million for the quarter. Is that the kind of level that gets you interested or is it a level significantly higher than that?
Larry Siebert: Well, when you think about that you also have to compare what cost that they are getting that level of sale. And also as they second entrant what will be the price point that we would go in. So the answer right now is no. We don’t see enough of an opportunity at this level, but we continue to monitor.
Paul Nouri – Noble Equity Funds: Okay. Thanks a lot.
Larry Siebert: Mm-hmm.
Operator: (Operator Instructions) Our next question comes from [indiscernible] with The Benchmark Company. Please proceed with you question.
Unidentified Analyst: Good afternoon, everyone. Sounds like a great quarter. I guess, I have a couple of questions, one that escalates to SG&A spend going forward and you are sounding like one of the things that you are at least thinking about is, growing more direct and branding your own product. And I guess, I’d be interested to hear you talk about how much of your business is going to go that way and what you think the incremental spend might be in the benefit of doing might be?
Larry Siebert: Sure. Well, a lot of our business is that way today, if our $25 million to $30 million of revenues that’s huge. Pro rata revenues too for the year, year-to-date we’re – we estimate that we reduced $6 million, Brazil which is not branded. And we did 7.8 million through Alere last year. We’re certainly well ahead to that this year. So, even assuming the $8 million, if they are at $8 million level, there is – half of our, the rest of our business 50%. Our business all overseas is Chembio branded. So what we are talking about doing and what we are doing is extending that brand into some additional market. We’ve been CE Marked now for being able the market our products under our brand in Europe. So that obviously gives us more brand recognition then Africa and now we have the opportunity to do that and are focused in near fairly cost effective way in the U.S. as well. And so that there is a class associated with that but there is also, I think, we give up a fair amount of margin for not having the Chembio brand on our product.
Unidentified Analyst: And I guess just – and thinking about Alere, I guess. If you were to – well, if you were to break away from Alere or not extend the relationship, how what would you – what does that mean in terms of, what you’re going to have to do, how quickly could you respond and I guess what’s the – what’s the work to test to get done in order to get to the level of revenues that you had in the U.S. through Alere?
Larry Siebert: Well, to give up a substantial part of the ASP that our product is sold by Alere for and so we would recapture that margin, we estimate that Alere’s business with our product is somewhere in the neighborhood of $17 million. So we would have obviously a lot more gross margin to work with in terms of what you need to do. I mean those are the things we’re doing anyway for DPP HIV test through its customer service, warehousing, obviously all of the marketing and product collateral and packaging. We don’t underestimate it. I can assure you. But those are the things that we need to do. And so on the one hand, we gain substantially more margin. But we’ll have additional expense and clearly the more products you can put through that sales and marketing organization the more cost effective it will become.
Unidentified Analyst: And how much of the work that you’ve done on DPP, could you leverage against what you would have to do with Alere?
Larry Siebert: Well, these are products that we sold into – in many ways the same market. The Oral Fluid Test will allow us to tap into parts of that market that we haven’t enable to access with our – with the blood test that Alere has been selling of ours. And the blood tests that are being sold into markets – some segments of that market where the Oral Fluid Test may not be appropriate. So but there is a large overlap, I mean we’re talking about the hospital market which we would work through distributors or work through distributors anyway both DPP as well as the test, if we took back the test from Alere. I have to say though we’re not, we’ve often said that we’re breaking away from Alere. We’re actually anticipating meaningful proposal from them very soon. So there is no, we need to be prepared and the good things is that by having such an overlap and having the effort underway, anyway for the DPP product, we can’t be and will be prepared.
Unidentified Analyst: Okay. I won’t ask for the – you’d be able to answer, what would it be that would make you stay or leave the relationship with Alere?
Larry Siebert: Yes, I mean obviously it’s too complex to answer and it wouldn’t be appropriate for me to answer here anyway.
Unidentified Analyst: All right. Well, thanks very much and again a good quarter.
Larry Siebert: Thank you very much.
Operator: Our next question comes from Brian Marckx with Zacks Investment Research. Please proceed with your question.
Brian Marckx – Zacks Investment Research: Hi, guys, congratulations on the quarter.
Larry Siebert: Hi, Brian.
Brian Marckx – Zacks Investment Research: On the topic of Alere, is there a plan B that’s kind of ready to go, if the discussions don’t end up into an agreement?
Larry Siebert: Yes.
Brian Marckx – Zacks Investment Research: Can you elaborate?
Larry Siebert: Well, I think I just – going to the previous question that we – by virtue of the fact that we’re developing the sales and marketing organization for our DPP product that organization would be capable and the distributors that we would work through as well supported by that organization, would be capable of marketing and distributing those products as well. So the question then becomes when will that organization be ready? And that, the answer to that is, our timetable for that has been obviously based upon when the product is ready to be – start being marketed. And that, the answer to that is, beginning of Q2 of next year to the extent that the – something should develop with Alere that requires us to activate that plan D faster than we would need to accelerate the DPP sales and marketing from OraSure, sales and marketing organization plan and we can do that.
Brian Marckx – Zacks Investment Research: Okay. If [indiscernible] does come to fruition with Alere and they are marketing their p24 test assuming, I guess CLIA Waiver, how competitive in your opinion does your Lateral Flow test remain?
Larry Siebert: Well, our tests are selling extraordinarily well. And so despite, we’re very satisfied with the way our test have been accepted and established in the market. I don’t, it’s hard for me to comment on their product. I congratulate them for getting the product approved. And it’s – we’ve been in the market supporting the highly regulated FDA approved product for last six or seven years. They just gotten FDA approval we haven’t, the product has not really, it’s just recently I think become available in the U.S., and so it’s really too early to say. There is one thing to say based upon the claims, I mean there are many products that have claims but the product needs to perform against those claims and products has to be supported and manufactured and all that. So it’s a little early for me to say and in any case, it wouldn’t be appropriate for me to say because Alere is our partner and we want to have a constructive dialog with them.
Brian Marckx – Zacks Investment Research: Would there – Larry, would there be something like minimum sales quarters, if the Alere agreement is consummated but if it continues –
Larry Siebert: That certainly, yes, I mean that would be certainly one element that would make sense of course.
Brian Marckx – Zacks Investment Research: Okay. On the [indiscernible] earlier in the year, you estimated I believe $6 million in sales in 2013 and I think year-to-date Rich, you can correct if I’m wrong, it’s $3.7 million, does that $6 million still hold as far as the forecast?
Larry Siebert: Yes, I checked out myself recently. So, I can say.
Rich Larkin: Yes. We are at – almost $3.8 million and I believe the $6 million number is still a good number.
Brian Marckx – Zacks Investment Research: Okay. That’s all I had. Thanks guys.
Larry Siebert: Sure. Thank you.
Operator: Our next question comes from Paul Nouri of Noble Equity Funds. Please proceed with your question.
Paul Nouri – Noble Equity Funds: When you go direct next year with the oral products, is there a possibility that you might also partner with the distributor or is it definitely going to be only direct?
Larry Siebert: It’s more than a possibility. Its absolute necessity for the physician’s office market, for the hospital market, even Alere used its distributors to address portions of that, of those markets. We don’t have any expectation or intension to develop the sales organization like what OraSure has done to sell to hospital. We will use distributors for that market. It’s really the public health market which is addressable with the fairly small organization that we would go direct to. And we would obviously need to support our distributors in order for them to be effective. And so we will need people in order to do that but that’s different from calling directly on thousands of hospitals. There is no way we would be able to do that.
Paul Nouri – Noble Equity Funds: Yes. Okay. That made sense. Thanks.
Operator: Thank you. Ladies and gentlemen, I would like to turn the floor back to management for closing remarks.
Larry Siebert: Okay, operator, thank you very much. Thank you all very much for listening. Appreciate your logging in or dialing in and look forward to reporting on developments as circumstance require. Thank you so much.